Operator: Good morning everyone and welcome to the Pinnacle Financial Partners’ Fourth Quarter 2014 Earnings Conference Call. Hosting the call today from Pinnacle Financial Partners is Mr. Terry Turner, Chief Executive Officer; and Harold Carpenter, Chief Financial Officer. Please note that Pinnacle’s earnings release and this morning’s presentation are available on the Investor Relations page of their Web site at www.pnfp.com. Today’s call is being recorded and will be available for replay on Pinnacle’s Web site for the next 90 days. At this time all participants have been placed in a listen-only mode. The floor will be opened for your questions following the presentation. (Operator Instructions) Before we begin, Pinnacle does not provide earnings guidance or forecasts. During this presentation, we may make comments which may constitute forward-looking statements. All forward-looking statements are subject to risks, uncertainties and other facts that may cause the actual results, performance or achievements of Pinnacle Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond Pinnacle Financial’s ability to control or predict and listeners are cautioned not to put any undue reliance unto such forward-looking statements. A more detailed description of these and other risks is contained in Pinnacle Financial’s most recent Annual Report on Form 10-K. Pinnacle Financial disclaims any obligation to update or reserve any forward-looking statements contained in this presentation, whether as a result of new information, future events or otherwise. In addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and reconciliation of the non-GAAP measures to comparable GAAP measures will be available on Pinnacle Financial’s website at www.pnfp.com. With that, I am now going to turn the presentation over to Mr. Terry Turner, Pinnacle’s President and CEO.
Terry Turner: Thank you, operator. I’m excited about our fourth quarter performance. It was a great quarter for us, but I maybe more excited about the momentum and opportunity that we see going forward into 2015 as we are -- coming off a quarter here, fourth quarter, we set lots of new records, we crossed 6 billion in assets. We set a new record for quarterly non-interest income greater than $40 million, new ROAA record at 1.27%, new record low on efficiency ratio at 53.2% and most importantly a record for quarterly EPS at $0.53. I want to start with the chart that we’ve been utilizing since January of 2012 to highlight our growth versus target. It was our belief at that time that our existing relationship managers plus several new sales associates that we intended to and indeed did hire in 2012, 2013, and 2014 that they had the capacity to produce approximately $1.27 billion in net loan growth over the three-year period beginning in January 2012. So we’re plotting the actual production over the three year cycle on the top bar against that three year target that we outlined on the bottom bar, and as you can see we exceeded that target. As most of you know, our approach to improved operating leverage, increase profitability and earnings growth really have been one of rapid revenue growth as opposed to expense cutting, and so achieving these loan growth targets was really the cornerstone of our three year profit plan and that’s when I start with it. At the same time that we begin discussing loan growth targets, we laid out our sustainable business model, which at the time called for say 1.20% ROAA, the midpoint of our targeted range. We broke down targets for the four critical components to produce that ROA, the margin, the non-interest income to assets, the non-interest expense to assets and the net charge off, which is really the primary influence on provision expense. In mid-2014 in conjunction with our 2014 to 2016 strategic plan, we increased our ROAA target -- increased the target range by 10 basis points to 1.20% to 1.40% range. And as you can you see on the right side of that slide, in the fourth quarter 2014 we’re already approaching the midpoint of that range. The only component measure not performing at least at the target range is expense to asset ratio and I wouldn’t expect to bring it inside that range necessarily in the first quarter 2015, I did expect that our continued loan growth will enable us to operate inside that range at some point during 2015. And it’s my assumption that continued credit leverage will continue to more than offset for that gap until we get inside the range. Our basic thesis for increasing share prices is that over time revenue growth, earnings growth and asset quality are the three most important valuation drivers. Also through good times and bad, companies that consistently grow book value per share, grow share prices. And so over the last several years we’ve been providing a quarterly dash board to highlight our progress on the key valuation drivers. The top row of the graph shows real revenue in earnings growth with double-digit organic revenue growth at 12.6% year-over-year, in the face of pretty stiff volume and margin headwinds. Fully diluted EPS was up 20.4% year-over-year. Our return on assets, which is not on this slide climbed to 1.27% and our return on tangible capital has climbed to 13.53% and that’s with a very strong tangible capital position. As you can see on the second row of graph, we’re getting outside balance sheet growth in the form of inter-period loans, up 10.8% in the fourth quarter of 2014 compared to the same quarter last year. You can also see that we have increased average transaction accounts by 16.1% during that same timeframe. So the transaction accounts now represent 44.7% of total deposits. And after having initiated dividend payout in December 2013, we’ve been accreting both regulatory and book capital, with tangible book value per share up 13.7% year-over-year, which as I just mentioned generally highly correlated share price increases. Consequently our Board authorized a 50% increase in our quarterly dividend payable, which moves us closer to our targeted 20% payout ratio. The third row provides information as to asset quality. Non-performing assets decreased to 61 basis points and total loan plus OREO and classified assets decreased to just 18.1% of tier-1 capital plus allowance. The overall improvement in our credit metrics has provided meaningful credit leverage for our firm over the last few years. And you can see the slope of the decrease in allowance is not as steep as the reduction in problem loans. So as I mentioned earlier we do anticipate that we’ll continue to have credit leverage throughout the remainder of 2015 as our loan portfolio continues to produce consistently strong asset quality metrics. At this point I am going to turn it over to Harold to review the quarterly results in greater detail.
Harold Carpenter: Thanks Terry. Although we’ve seen a significant increase in the fee line in relation to our total revenues, we remain a spread bank and we’re pleased to report net interest income continued to increase in the fourth quarter. As expected and reported, in the prior quarter margin contracted a modest amount during the quarter but remaining within our net interest margin targets of 3.7% to 3.8% for 2014. We expect to experience continued increase in net interest income as we grow our customer base and our markets. Concerning loans specifically, as expected we experienced a big push late in the quarter for loan bookings, and as the chart indicates average loans were only 4.44 billion for the quarter while EOP loans were approximately $154 million greater than the average balance, signaling that we expect to see average loan balances continue their quarter-to-quarter increases as we head into the first quarter of 2015. As to loan yields, our loan yield remains stable at 4.34% this quarter and it basically held steady for the past four to five quarters. As to deposits, again here in the fourth quarter, we were able to continue lowering our funding cost. We’ve mentioned for several quarters that our pace of reduction was slow and it has in fact done that as the cost of funds decreased one basis point from the third quarter. However it should be noted that the decrease of one basis point would achieve, while we grew deposits -- growth rate of approximately 12%, which speaks to the relationships of our financial advisors have in the market. As to deposit balances, we continue to emphasize non-interest bearing deposit business, which we believe might be the most valuable product in our bank and that our business strategy continues to work with year-over-year average non-interest bearing demand deposit balances up 16.5%. These remain core operating accounts that we would expect to keep regardless of the rate environment. Switching now to non-interest income, non-interest income for the fourth quarter increased 15.2% over the same period prior year. Our wealth management lines are all showing positive trends and remain a reliable earnings stream. Investment services experienced a $400,000 increase in the fourth quarter with most of this attributable to a vendor incentive payment from Raymond James. Items included in other non-interest income tend to be lumpy and include items such as gains on other investments, loan sales as well as interchange fees. As we mentioned last time we also had several tactical items aimed at debit, credit and purchasing cards that we hope will further bolster our fee categories in 2015. As it sits right now, we feel pretty good about our run rate going into 2015, keeping in mind we’re looking for our traditional first quarter insurance contingency fee in the first quarter. Now as to operating leverage, our efficiency ratio of 53.2% represents a record for our firm. We believe our efficiency ratio as it stands today compares favorably to most peer groups and believe that we will be able to maintain and improve upon this level of efficiency in 2015. So that we may maintain our top core quartile peer performance. Fourth quarter expenses came in about where we anticipated. We did have a favorable ORE transaction that resulted in about $1 million gain in our expense base. This was a commercial development in our MSA which we foreclosed upon in mid-2013 and since that time we’ve been working with local officials to get the properties’ interior roads converted to public use, which came through a few months before our fourth quarter sale. That said we also experience in approximate $1.2 million increase in provision expense due to net loan growth for the fourth quarter. Thus our P&L credit cards in the fourth quarter compared to the third quarter were essentially flat. Our core expense to asset ratio was 2.37% for the fourth quarter. As we’ve stated for the last two years, the primary strategy to ultimately achieve our long term expense to asset ratio target is to grow the loan portfolio of this firm with a corresponding increase in operating revenue and earnings. As far as 2015 is concerned, and consistent with previous years, we likely will give up some ground on our efficiency ratio in the first quarter with annual merit raises and other payroll tax related charges. But we do remain committed to decreasing our efficiency ratio in 2015 as a result of increased operating leverage as well as careful amount of [ph] attention to our expense base. We’re going to switch gears somewhat to discuss our balance sheet sensitivity. There is much discussion in the news about flattening yield curves and the resulting impact on bank stocks, due to continue weakening of the European economy volatility in the energy section, probably a 100 other factors that ultimately keep us mystified as to whether our Fed Funds rate increase is indeed on the horizon. The end result is that bank stocks had been in midst of a pull back and all during this time we at Pinnacle and other small cap banks thought we were doing it fairly well. Given all that, we felt we’d update you on our balance sheet and in preparedness for whatever rate curve maybe in our future. I continue to like our balance sheet and where we are given all of this volatility. We introduced to you to this slide last quarter and it’s basically the same information, only updated for current positioning with a few new points. First from a structural perspective our balance sheet has progress nicely to asset sensitivity on many fronts, as the chart indicates, we’ve experienced significant growth in our DDAs. Our securities portfolio has become less impactful on to our ongoing earnings stream and fix rate loans are 43% of total loans. All things are considered fairly consistent quarter to quarter on these matters. As we announced last quarter in July, we started the target removal of $350 million of existing interest rate floors over the next 12 or so months as these floors came up for renewal. This represents about 25% of our forward loan book. Through December 31 we’ve removed approximately $85 million of these targeted loans during 2014, a success rate of approximately 96% of those maturities today. Appreciate that in addition to transitioning these loans from a floor rate to a floating rate, our relationship managers are seeking and have achieved increases in the spread index on these renewed loans. Thus far, our relationship managers have negotiated an increase of 34 basis points in spread on the $85 million of floating rate loans, for which we have removed the floors. So not only are we removing floors, we are about increasing the contract rate as well. Thus far assuming the 73 basis points for the contract rate difference was to give back -- our relationship managers have earned back 47% of that amount. That said, and again as we announced last quarter, in order to essentially pay for the removal of floors on the 350 million loans we swapped a 170 million in LIBOR variable rate loans or only about 2.5% of our loans for fixed interest rates with a weighted average spread pick up of 2.17%. As we’ve said in the past, we also have $200 million in forward selling cash flow hedges which effectively lock in $200 million in future long term fixed rate Federal Home Loan bank funding. During the quarter we did terminate 100 million of these hedges at a deferred gain of $64,000 and entered into new hedges of the same amounts but deferred the start days for these to between October 2017 and July 2018. As one considers Pinnacle’s balance sheet structure, one of the critical assumptions has to be the betas associated with the change in deposit pricing, particularly for us money market and interest checking. For this rate cycle we’re contemplating higher betas on many products with a likely average of more than 60 basis points. More to say on this in a minute. Lastly, probably the most critical assumption is the when question. Our modeling remains a 3Q’2015 rise in Fed Funds, but based on what we hear, this could get deferred again fairly quickly. We’re also considering a flatter yield curve with a pull back of the 10 year. We like our balance sheet a lot when both short and long term rates rise. We like in less if it stays where it is today. It’s a long end stay for it is -- we could see NIM dilution of up to 5 basis points from current levels which is why we like a rising rate environment. Let’s discuss some of these factors in slightly more detail. First let’s discuss overall status of our loan floors. We’ve been talking about this slide for quite some time. We’re fortunate to have relationship managers that can garner loan floors which is a great thing. As of December 31 we had approximately 1.08 billion of floating rate loans with floors on our books with an average difference between the floor rate the contract rate of 73. This provides us approximately $8 million in the annual revenue. In 2014 we’re pleased to report that we’ve experienced about $190 million in reduced floating rate floored loans. This reduction is due to market forces, pay downs, pay offs as well as the target removal of loan floors, which we just discussed. While we’ve not discussed before and have received many questions on in the past is how much more will we target? As the chart indicates we’d like to operate with about $850 million to $950 million of loans with floors, or a further reduction of about $100 million to $200 million. Our program where we are targeting to remove these floors will obviously help us to achieve our goal, and given our flexibility, we can terminate that program where we feel like it is best to do so. This is the newest line and provides a reasonable snapshot of our balance sheet, probably one of the better management tools in determining your interest rate sensitivity as of a point in time is the traditional rate shock analysis applied to a static balance sheet. It’s a rough estimate of what happens to your balance sheet, specifically on 12 month net-interest income results, should a parallel increase or decrease in the treasury curve occur. Many banks discussed in various forms and various filings with the up 100 scenario receiving most of the attention likely. As you can see over the course of 2014 we have become more and more asset sensitive with the up 100 calculation moving into asset sensitivity territory at the end of third quarter 2014. As to what happens on the first day of say a 25 basis point increase, let’s look at the next slide. This is what we’ve been working on for quite some time. The top left chart details two lines. The red line reflects the absolute volume of interest bearing deposits that would be a candidate for rate increase no matter how big or how small of an increase. As you can see, the red line did increase in the fourth quarter with new current increase in our money market accounts. This is where the beta factor comes in and why it’s so important to the assumption set. The red line has factored into it for beta assumption. The higher the beta, the more non-maturity deposit you have to consider in the rate increase. We have unique beta assumptions for future funding cost for every funding product and for every rate tranche but when we consider all of those the weighted average shakes out to be approximately 62 basis points for the first 100 basis points and rate change. That said we’re modeling increased betas for harder rate changes. That is, as rates go up we believe our beta will escalate as well. Now back to the chart, the blue line represents our floating rate assets, no floors, no fixed, just assets that should reprise with immediate rate increase. Our assumption is that LIBOR will adjust before or nearly after the Fed funds increase. The blue line has been increasing all year. Effectively this is the short term GAAP analysis with all of its short comings regarding convexity, optionality, the rest of the balance sheet, et cetera et cetera. All of our household technicians are cringing about now, but it does point to a trend of a lessening GAAP and something we have been working on all of last year and we will continue to work on. Our GAAP now is about $200 million from about $500 million last year. The bottom right graph we believe is also interesting. Though the $1.08 billion in floating rate credit with the floor approximately 26% were reprised within the first 25 basis points. Thus, along with the removal of the floors, we anticipate that the blue line in the previous chart can overtake the red line around the middle of this year. I know that’s a lot of a detail but feedback we get says that there are lot of shareholders interested in these matters and we thought we’d dedicate some additional time to it this morning. In the end we don’t know what rates are going to do but our goal is to be modestly asset sensitive at some point in the near future regardless of the size of the rate increase or when it might happen. We will do this by continuing to reduce our loan floors and utilization of other tools should the need arise. With that I’ll turn it over to Terry to wrap up.
Terry Turner: Thanks Harold. There is no management action that I’ve always relied on, which is expectations shape behavior. For those of you who have been following our proxy disclosures over the years you know that in addition to the asset quality threshold that must be achieved before the first dollar of incentive can be paid, our executive compensation is specifically linked to producing top quartile performance within our peer group and by the way for most recurring [ph] metrics our peer groups outperforms the industry at large. So one explanation for our persistent ongoing top quartile performance is that’s the performance expectation that we’ve established in the past, and looking forward our board continues to target top quartile performance and links executive compensation to it. Another management action is you get what you incent. As I’ve already mentioned our executive compensation is to actually achieve top quartile performance. So that results in very high targets and dogged execution. Here the floor management has developed detailed action plans to meet those expectations. As you can see on the chart, 2014 was another year top quartile execution and performance and I believe that approach to establish an ongoing performance targets is tightly linked to total shareholder returns. And speaking of total shareholder returns, here you see our one, three and five year total shareholder returns against our peers' way up in the top quartile. And I just want to comment, I don’t spend time on the last two charts just because I had some charts. I spend time on them because I think they highlight one of the most distinct characteristics of our firm. So many firms target medium benchmarks and frankly that’s what they get, maybe in performance, but at Pinnacle, we target top quartile returns and we link executive compensation to the achievement of those results. And I think it makes difference for our shareholders. As we wrap up here today, I’d like to put a bow on 2014, provide a little color on our outlook for 2015, and then frankly just take a few minutes to talk about our longer term outlook. 2014 was a hell of a year for our firm. We continued our record for double digit EPS growth, exceeding the $2 in earnings per share budget that we had going into the 2014. In other words our 2014 budget or the target represented at 20% growth and earnings per share, which I think says something about both our aspiration and our execution, we set big goals for our associates but we develop action plans and execute them. As we all know, hope is not a strategy. We exceeded the three year loan growth target that was the cornerstone of our plan for improved profitability and in addition over achieving our targeted return on average assets, we had hoped to drive all four components the margin, the noninterest income to assets, the noninterest expense to asset ratio, and the net charge offs inside the long-term target range by the fourth quarter of 2014. We were there on three of the four. We didn’t quite get there on the expense to asset ratio, but thankfully our performance on [indiscernible] assets and net charge offs more than offset the small shortfall on the expense to asset ratio. We developed a plan to transition way from the loan floors, a liability sensitivity that served us so well during low rates to slightly asset sensitive position with little or no impact to earnings, current earnings, and I don’t think we’ll ever be taking big bets on our balance sheet sensitivity. So I think we’re exactly where we ought to be right now. Operating leverage has been our theme for the last three years. We saw our efficiency ratio improve 250 basis points in 2014, almost exclusively based on sustainable organic revenue growth. I’ve already spent some time on our Board’s philosophy regarding targeting top quartile performance, and as you saw in 2014, we did in fact have top quartile profitability and top quartile asset quality, which we believe did result in top quartile total shareholder return. All in all, it was a great year. Looking out to 2015, we generally expect more of the same. We continue to set aggressive EPS growth targets. We continue to target loan and core positive growth in order to produce the lift in earnings and profitability. I’ll just comment quickly here, as we measure the capacity of expected loan growth, I believe our current cadre of relationship managers have a comparable three year net production capacity to that of the relationship managers back when we published our three year capacity, three year ago. So we’ve not sopped up our capacity in hitting those three year growth targets. In fact we have a much capacity remaining as we did at the time. We’ve already published our elevated profitability targets going forward with an ROAA between 1.20% and 1.40%. Right now we intend to continue a modestly asset sensitive balance sheet. We expect to pick up further advances in our efficiency ratio based on continuing operating leverage and we continue to target and link executive compensation to top quartile performance among our peers. And then in longer term, we remain optimistic about the tremendous opportunities that we see ahead. Number one, we’ve not really developed the CRE line of business. Of course a meaningful part of our CRE exposure is owned or occupied real estate, and we have relationships with many of our market’s key developers, but we’ve never really built out the business with any interest, and using the joint guidance or interagency guidance, real estate concentration guideline of 300%, we’ve got room to build the business -- CRE business in excess of $500 million in assets without any excess or concentration. We fully expect to launch that new business line during 2015, build it out over the next several years, targeting our market’s best developers, and so this represents significant incremental capacity beyond that that we see in the current capacity to hit our ongoing targets. Number two, geographic expansion Chattanooga and Memphis have been targeted markets for us. They are urban markets dominated by the same large regional banks with whom we compete, Nashville and Knoxville. We believe those two markets could represent $3 billion to $4 billion in assets, and while those targets for acquisition are very limited, there are some, and as I’ve said many times before, we don’t fear de novo built out, particularly given our success with de novo built outs in Nashville and Knoxville. I would say it’s hard for me to imagine that we wouldn’t be in both of those markets in the foreseeable future certainly inside that five year time horizon. We don’t go just for the sake of going. We’ll have to have the right acquisition or the right lift out, but I can’t imagine that we wouldn’t get there over the next five year time horizon. I think I just want to comment here quickly. There’s a lot of talk about folks going through the $10 billion asset threshold and the impact to CFPB and other regulations, the Durbin Amendment and so forth. We’re still a good ways from crossing that $10 billion threshold, but you should know our goal is not to avoid it, but actually to get there and grow through it, and adding a CRE line of business and expanding those geographic markets are major asset opportunities that are likely to push us north of the $10 billion threshold. Number three, increase in fee businesses. While we’re proud of the improvements in our fee to asset ratio, it appears to me that there is still plenty of running room for further expansion. Our elevated target for non-interest income to asset is currently capped at 1%, and as you look at the sustainable business model, that would yield a very handsome ROAA, but I want to comment that at September 30, 2014 we were at 89 basis points, which is 6 basis points below the median of our peers and well below the 75th percentile, which was 116 basis points. So as we move forward, we will seek to make investments in businesses that enable us to set a still higher non-interest income to asset ratio target and further advance the profitability of the firm. As an example, in 2012 we made $2.2 million investment in a new credit card technology provider that’s aimed at banks and credit unions that are unlikely to build the necessary scale, but would like to offer their clients credit cards and own outstanding balances. As part of our agreement, we would technically be the account issuer for those banks, selling them their outstanding balances while earning account issuer fees and building depository balances or clearing, we believe over the next couple of years this will provide a meaningful accretion to our current non-interest income stream and non-interest income model. Another example is that we recently announced the hire of Roger Osborne, who will build the capital markets unit. That’s aimed at capital and M&A consulting to our clients, which if you remember, generally owned or manage businesses that aren’t targeted by higher profile investment banks. Roger has had a long career as a financial services professional, including heading SunTrust Robinson Humphrey’s Capital Markets origination group. It will round out our advisory positioning with our clients. Frankly we believe that we’re missing derivative opportunities, especially interest rate swaps for a number of our clients, and in so adding this 20 year veteran with extensive capital markets experience, will put us in a position to advise on non-bank debt and equity. I will say this. There will be no action as a principle. We will consult with clients and collect fees through [indiscernible] registered broker dealer that we’re in the process of forming. I might just comment that that would not impact the dual brokerage arrangement that we have with Raymond James for our retail clients, but does put us in a position to collect the fees for consulting as I say on M&A, bank debt, equity, interest rate swaps and the like. I think finally I’d just comment that we continually are looking for incremental investments, like the examples that I’ve given, particularly those that could significantly augment our fee income businesses and strategically reduce our dependence on the spread business. So we’re very excited about 2014, the finish to 2014. We’re excited about the momentum, the continuing opportunities for operating leverage improvements, inefficiencies growth and earnings and all those things and feel like as we look at even over a longer horizon, and over a five year time period, we’re really blessed with extraordinary opportunity. With that operator I’ll stop and we’ll take questions.
Operator: Thank you Mr. Turner. The floor is now open for your questions following the presentation. [Operator Instructions]. Our first question comes from the line of Stephen Scouten of Sandler O'Neill. Your line is now open.
Stephen Scouten: Just wanted to touch, base, can you give me a little bit more detail on the expected pace of continued growth heading into 2015, especially relative to the still significant pay down activity? Any color you can give there especially -- I know you mentioned maybe the run rate still looks like it did three years ago potentially, but any color you can give there, or expected new hires that would increase that run rate? Anything of that nature?
Terry Turner: I’d just say this. If you go back three years ago, when we announced what that target was, we went through a process with all our financial advisors, generally referred to as relationship managers and tried to outline exactly what each individual’s capacity was. We backed it off for some target miss and published the number at one point to $7 billion. In that number we included hires that we intended to make during 2012, but not during 2013 and ’14. In other words that was the capacity that we would have at that time to produce that growth. And the idea of being that we already had an expense base that would produce nearly $1.3 billion in asset growth. We recently have been through that exercise, and again I don’t want to get back exactly in the position that we’ve been in the past, where we’re marketing quarter-by-quarter and showing how we’re growing against the target. But I don’t mind to say that the capacity exercise that we’ve been through, as it relates to 2015, ’16 and ’17 looks at least as good as it did when we made that announcement back in 2012. I’m just saying that we haven’t sopped up our capacity. In fact we’ve built capacity and hired meaningful numbers of revenue producers during 2012, 2013 and 2014 and that’s one of the reasons we continue to have this great capacity. I would say in terms of ongoing hires we -- I mentioned the CRE business that we intend to build. That’s one that could happen sooner as supposed to later I think. We’re in pretty late stage negotiation with a couple of folks. You know you never celebrate till you get them onboard. We will find some and build that business somehow some way. But honestly I believe that we’re likely to announce hires on that front quickly, and we’re very actively recruiting and see good opportunities for continued hiring of relationship managers from our large region competitor. So again the capacity exists today. I don’t need to hire any people to sort of have the capacity, the three year loan growth capacity that we’re talking about. But I will say, I do expect that we’ll continue to add incremental capacity in each of the next three years.
Stephen Scouten: Okay that’s helpful. And I guess in regards to the pay down front, you don’t necessarily see any change in conditions that will allow that to trail off at all or even get back to 2012 levels or anything of that nature?
Terry Turner: Honestly every year since 2012 I have assumed that it was going to better and it hadn’t. And so our planning is that it’s not going to get better. I hope it does. It’s possible that it does, and if it does that will be great. That will be a clear boon to our net loan origination capabilities. But our planning assumption is more of the same.
Stephen Scouten: Okay and then one other question on the net interest margin. And first of all thanks for the all the incremental detail. That’s pretty phenomenal detail. But the one thing I had a little confusion on was maybe the comment that if the current rate environment stays flat, there might be five basis points of incremental compression. So would that basically that the low end of your targeted NIM range of 370 there could be maybe 5 basis points of incremental downside there assuming that the 10 year stays flat and maybe the Fed only increases 50 basis points, or I guess what are assumptions maybe there? A little extra detail?
Terry Turner: I think it’s from current run rate Steven. We always stay within that 370 to 380 range. We are really optimistic and hopeful that this 10 year will rebound some, but I think that’s what -- that's all it is, is hope at this point.
Stephen Scouten: So even on the downside you think you should be able to stay in that 370 range?
Terry Turner: Sure.
Operator: [Operator Instruction] Our next question from line of David [indiscernible] of Raymond James. Your line is now open.
Unidentified Analyst : You spoke to the new producers that you might be looking to hire. Could you maybe speak to the expense bill that you would expect with that, and maybe talk to where your current loan pipeline stands?
Terry Turner: Yes. Let me start on the expense size, because again I think, if you followed our Company for an extended period of time, my basic thesis is that we have an expense base that’s going to produce a disproportionate amount of revenue growth. In other words our loan pipelines, and the capacity that I mentioned are as large as they were three year ago. So we ought to expect similar asset growth given no increase, no build in the expense base. Now moving forward I have said I do expect that we will have increases in expense base, because we’ll higher incremental capacity. But we've also said that we expect that you’ll see an improvement in our efficiency ratio during 2015, and have also said that we expect that the growth on the asset side will be disproportionally higher than the growth in the expense base, such that the expense to asset ratio comes inside our target range of 2.10% to 2.30%. So again just to try to get clear, we don’t need any incremental expenses to continue loan growth at the pace we’ve had. We will add capacity, but we’ll add it in a way, so it’s that the efficiency ratio advances and such that the expense to asset ratio advances. Is that helpful?
Unidentified Analyst : Yes, absolutely. Maybe what your pipeline is?
Terry Turner: I guess I would just characterize our pipelines as general consistent with where they’ve been over the last several quarters. I think traditionally first quarter is a relatively lighter production quarter then the other three. I don’t know. We may see a little less loan production in first quarter than fourth quarter but I don’t look for it. As an example I would look forward to be as modest a growth in 2015 was in 2014. So again, I think our pipelines are very healthy.
Unidentified Analyst : Last question from me, maybe you could talk a little bit about your thoughts on M&A a little bit more? You're clearly focused on the Chattanooga and Memphis markets as areas for growth, but what size and what are your thoughts on M&A as we look out to 2015?
Terry Turner: Yes, I think -- yes I would say that I believe in general there is more M&A chatter today than there have been in the recent past and I would say for our firm we probably have preliminary discussions going with a number of banks on a number of fronts. I don’t think you ought to read a lot into that other than just there is incremental activity from where it’s been. I’ve mentioned that in both Chattanooga and Memphis, I think there are conceivable targets for acquisitions, and we just have to see where that goes. One of the things for our Company that I think is important here, we’re not afraid of the M&A. We’ve done in the past. I can’t imagine over the three, four, five year period of time we won't do more M&A. But when you have the sort of organic growth capacity that our Company has, you have to acquire pretty rapidly growing bank to make that an accretive transaction, and so it gives you a pretty limited number of targets. And again in both markets we have active dialog going-on with potential targets. Again, I wouldn’t overplay that, but just some level of dialog. People are aware of our interest and so forth. But we also have dialog going on with various folks that might be able to produce a good lift out force, in either of those markets. And so again I guess I would just say, I characterize that this way we got great organic growth capabilities, that limits a number of M&A targets that make sense to us. We are capable of, and like the de novo expansion and have dialog going-on on those fronts, but if we found the right M&A opportunity, we’d do it.
Operator: Thank you, our next question comes from Kevin Fitzsimmons of Hovde Group, your line is now open.
Kevin Fitzsimmons: It's Kevin Fitzsimmons, Hovde Group. Just one quick question. Most of mine have been asked and answered. Terry, over the years, you guys have -- it’s been a very consistent strategy that you go out and you try and get the good loan officers from some of the large regionals and you have that capacity in mind to bring over a certain period of time and that you can’t argue with the numbers that -- it has played out. But as you guys build your presence in Nashville over the years and it’s no secret that Nashville is a good market and I just continually hear other banks talking about and taking steps about going into Nashville. Are you starting to see pressure on you guys from the other end? In other words, people talking to and starting to take any of your own folks that you guys in the sense become the target and that same game? Do you see any of that or is that just it’s more they go after the large regionals just like you guys do?
Terry Turner: Well, Kevin I would say that your general thesis is right. I don’t find it to be any -- I guess I just sort of give you a little color commentary on what is the level of people coming to Nashville and I don’t found it any more aggressive today than it’s been really since we started coming out of the recession. We’ve got, we’ve had new interest in this market by a folks like JP Morgan Chase, new interest by folks like Wells Fargo. You got U.S. Bank [indiscernible] do something here, you’ve got regional players coming in with LPO, Citi, National, PNC [ph]. So those are folks that have already made the decision to come here and are here and have been here for a year, two years, three years and so forth. And so I guess again I don’t fear that 2015 is somehow going cause it to be more. It might be more of the same but it’s not -- I can’t imagine it will be any more aggressive in terms of people coming to the market. Again I’m aware of other folks who say they want to come and I do expect they will, but I guess I’m just trying to characterize that I don’t look forward to being more competitive in 2015 than say it was in 2014 and ’13 and something like that. I think the second thing that will be in the target. I would say -- my own feeling is -- my own assumption is that we are the number one target of potential hirers and headhunters and so forth. I happened to bump in to a headhunter the other day who I'd never met, a name I'd known for a while but personally I'd never met, and his comment was Terry, man, it’s so nice to meet you. You and I have never chatted but I've talked to probably everybody that works for you, and I believe he was sincere. I think he had talked everybody that has worked with Pinnacle. And again in his talks and discussions he knew people way down in our organization, and what they had built and who was working on the professional doctor practices and who was working in the middle market and who came from which bank and frankly indicated which banks he had been recruiting for and some banks that he had recruited, tried to hire this person or that person, so forth. So I just rambled through that. I don’t want to sort of overstate the position Kevin, but I think most people would acknowledge, we do have the largest and the best known cadre of commercial bankers in Nashville and perhaps in Knoxville as well. And so our folks are being hit by headhunters every day, and I don’t look forward to be stiffer in 2015 than it was in 2014 or 2013.
Kevin Fitzsimmons: Okay that’s helpful, one quick follow-up.
Terry Turner: Kevin if I could, I might -- I just thought one more thing that might comment on. I think in our -- 2015 is our 15th year anniversary year and during that period we probably lost two revenue producers that I can think of, who left this firm and went to work in another bank. I mean an astounding thing. We just don’t lose our revenue producers.
Kevin Fitzsimmons: Oh, that puts some perspective. Okay great. Just one quick follow-up. It seems like when the discussion of M&A comes up, it seems that incrementally over the past I don’t know five or six quarters, it has gradually become a little more of an open possible avenue for your guys, and in terms of how you’re portraying it? And you have been very open about the fact that when you look back to pre-downturn, you guys did a few deals that in hind side they were probably beefing up in construction and land at the wrong time, right, I think you would say that?
Terry Turner: You all head [indiscernible]. Go ahead Kevin.
Kevin Fitzsimmons: Theoretically that is. And as you look out now, it’s very understandable especially with your organic loan growth engine to be very careful, and to be conservative looking at these deals, but as you’re looking at them, and given the experience, are there any areas or certain types of banks that you just want to stay away from, that you’re looking and saying we don’t want to -- we've got a great company and growth engine the way we have it. So we don’t want to disrupt it or screw it up by adding the following kind of banks on, or are there any things like that that you just want to stay away from?
Terry Turner: Yes, I think your observation that we’re more open to M&A today than we have been at various points in our past is probably accurate, and I think what makes that the case is that our stock is relatively advantaged and really take out multiples are more reasonable than they were at the peak of the market. And so the combination of our growth and stock advantage and the more reasonable price targets and those kind of things makes it more likely as opposed to less likely. Again I don’t want to overplay it. I don’t -- I honestly don’t care if I make an acquisition or not. Again we can go at it either way. But I'm just saying that phenomenon makes it a little more likely than it might otherwise be. I think in terms of the kinds of banks that we loan acquired, Kevin, I might just take this opportunity, you and I have had lots of discussions about it over the years. I honestly am not sensitive about the acquisitions we made. I believe we made great acquisitions. I've got a number one market share position. I took losses on the residential real estate exposure that they had, but that was the flaw and not the acquisition or the target specifically. It was just the fact that we set the concentration residential real estate exposure.
Kevin Fitzsimmons: Right.
Terry Turner: But in those markets I've got a number one deposit market share position in one of the fast growing counties in the United States. That’s a cool thing. If you look at the $2 in EPS I make today, a significant portion of it comes from that acquisition. And so I think over time we did get what we want despite having been at the wrong place at the wrong time on the residential construction. So I’ll put that in perspective. If I could do that deal again, I probably would liked to have done it later in the cycle where I got it at the low, instead of the high, but it was a good acquisition. And so again I would -- I guess just say that the kinds of banks that we wouldn’t want to target -- there's one thing that stands out. We had tons of opportunities Kevin, as you might guess to acquire banks in the state of Tennessee. Many have been slow growth, no growth markets. Many have been rural markets, those kind of things. We have no interest in the small no growth markets. We have no interest in rural markets, those kinds of things. Our interest is in urban markets. That’s where we do -- well, that’s where we can bang on these large regional banks the best, and so that would be an area of concentration. And I think generally we’re not aimed at companies without a concentration of what you might call mass market retail. We have a preference for folks who can succeed in the relationship managed segments, primarily the commercial segment, and to lesser extent, the private banking segment.
Operator: Thank you. Our next question comes from Brian Martin of FIG Partners. Your line is now open.
Brian Martin: Harold, can you talk a little bit about the fee income being up this quarter and just kind feeling good about this type of run rate. It sounds like those vendor incentives and a couple of other things that were in there, is that kind of a normalized level? Is that what you’re suggesting as you kind of get into second quarter and beyond? Or was any of that stuff kind of non-recurring and based on the fee income [ph].
Harold Carpenter: Well I guess you could assume that the Raymond James payment is non-recurring but we’re also expecting a payment in the first quarter, on our insurance contingency fees and hopefully by that time we’ll see some energy in some more of the core fee revenue categories. So we’re optimistic that we’re at a different run rate.
Brian Martin: And then just one follow up on the M&A. It sounds like the two markets, the Chattanooga and Memphis are targets. I assume Nashville is still a focus as well if there is an opportunity that came up there?
Harold Carpenter: Yes no doubt. I guess I might have been well served to make that comment. I've made it so many times in the past I guess. But Nashville would be an awesome opportunity for us. We love our distribution there. I think it’s advantaged in terms of the number of offices that we have here. I think its 28 offices and most of the large regional banks that have greater share than we do here probably have twice that many offices. And so again it’s an advantage distribution system, but I don’t need any more, and so if I could do an in market deal, I ought to get an outsized cost take out and that’d be a great thing.
Brian Martin: All right. Fair enough. And then just the last thing with the pricing Terry on kind of new business, it looked like -- the loan yields are relatively flat this quarter. I guess how those pricing kind of the expectations with the growth expectations you have in 2015?
Terry Turner: Brian I’d love to tell you I think man everything is sleek and so we won’t be under any pressure, but I don’t believe that’s the case. I think everybody in the market will be under pressure. I think we still operate in an environment that's a slow growth environment at best, and I think the industry and our markets in particular are washed with liquidity and so there is just too much money chasing too few deals. I think there will be pressure on pricing, I don’t think it’s been so bad over the last two or three quarters and I'm optimistic that will continue. But again, I think you have to see, there is no big pricing pressure due to asset origination difficulty for the industry that still persist.
Brian Martin: Okay. So some possible pressure on that loan yield numbers is kind of the way to think about it?
Terry Turner: I think -- again, you’d have to say there's potential pressure on it, but again I think we said we believe we can hold our margin in the 370 to 380 range.
Operator: Thank you. And I'm showing no further questions at this time. Ladies and gentlemen thank you for participating in today’s conference. That does conclude today’s program. You may all disconnect. Have a great day everyone.